Operator: Welcome to the Floor & Decor Holdings, Inc. First Quarter 2021, Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct the question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. I would now turn the call over to your host, Wayne Hood, Vice President of Investor Relations. Please go ahead.
Wayne Hood: Thank you, operator, and good afternoon, everyone. Joining me on our earnings conference call today are, Tom Taylor, Chief Executive Officer, Lisa Laube, President and Trevor Lang, Executive Vice President and Chief Financial Officer. Before we get started today, I would like to remind everyone of the Company's safe harbor language. Comments made during this conference call and webcast contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events, including financial projections or future market conditions is a forward-looking statement. The Company's actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. Floor & Decor assumes no obligation to update any such forward-looking statements. Please also note that past performance or market information is not a guarantee of future results.  During this conference call, the Company will discuss non-GAAP financial measures as defined by SEC Regulation G. We believe non-GAAP disclosures enable investors to better understand our core operating performance on a comparable basis between periods. A reconciliation of each of these non-GAAP measures to the most directly comparable GAAP financial measure can be found in the earnings press release, which is available on our Investor Relations website at ir.flooranddecor.com. A recorded replay of this call, together with related materials, will be available on our Investor Relations website. Let me now turn the call over to Tom.
Tom Taylor: Thank you, Wayne, and thanks to everyone for joining us on our fiscal 2021 first quarter earnings conference call. On today's call, I will discuss some of the highlights of our strong fiscal 2021, first quarter earnings results. Trevor will then review our financial performance and discuss how we are thinking about the remainder of fiscal 2021. And then, we will open the call for your questions. We could not be more pleased with our fiscal 2021 first quarter earnings results, which are supported by the favorable macroeconomic environment and our excellent execution amidst strong, comparable store sales growth. Our first quarter 2021 total sales exceeded our expectations, increasing 41% or $227.6 million to $782.5 million from $554.9 million, in the first quarter of 2020. We are particularly proud, that our fiscal 2021 first quarter total sales are equivalent to our full year 2015 annual sales, which is a testament to the execution of our business plan and our resulting growth. Our first quarter 2021 comparable store sales increased 31.1% and represented the strongest quarterly comparable store sales growth, in our company's history. It is also notable, that our customer service scores improved during this period of strong growth as we continue to focus on serving our customers with on-trend products. Our fiscal 2021 first quarter adjusted EBITDA also, exceeded our expectations increasing 74% to $127.1 million from $73.1 million in the first quarter of fiscal 2020, as our adjusted EBITDA margin increased 300 basis points to 16.2%. Our fiscal 2021 adjusted first quarter diluted earnings per share increased 100% to $0.68 from $0.34 in the first quarter of fiscal 2020. Let me now provide an update on each of our five strategic pillars of growth, beginning with new store growth. We successfully opened a first quarter record seven new warehouse stores in the first quarter of fiscal 2021, more than double, the three new warehouse stores we opened in the first quarter of fiscal 2020. Recall that, last year, we delayed two of our store openings in late March, due to state and local construction restrictions, caused by the COVID-19 pandemic. In fiscal 2021, we opened two new warehouse stores in each of January and February, and three new warehouse stores in March, including new market openings in Pleasant Hill California and Danbury Connecticut. As we look to the second quarter of fiscal 2021, we expect to open eight new warehouse stores with most of the openings occurring in late June. We continue to believe that the timing of our 2021 store openings will allow us to achieve, our long desired objective of balanced quarterly store openings. For the full year, we still expect to open 27 new warehouse stores an increase of 20.3% from 2020. We are also continuing to move forward with opening two more design studios in the fourth quarter of fiscal 2021, with openings in Miami and Houston. Finally, we remain very pleased with the sales performance among all of our store vintages. We were particularly pleased with some of our most mature stores. Based on the early strong results, we continue to believe, that the new store classes of 2020 and 2021 will represent the strongest classes in our history from both, a top line and profit perspective. Moving on to the second pillar of growth growing our comparable store sales, we are very pleased with our comparable store sales growth momentum and the broad-based strength we continue to see across all of our merchandising categories and nine geographic regions. The 31.1% growth in our first quarter comparable store sales was driven by strong 29.2% growth in comparable store customer transactions and 1.5% growth in our comparable store average ticket. There was a favorable shift towards our better and best price points in the first quarter, when compared with last year. This shift is the direct result of being able to offer our homeowners and Pros, clear and compelling trade-up options. The recent launch of our Optimax Eco Resilient Flooring and our large-format tile offerings are just a couple of examples, where we believe we have widened the gap with our competition with better and best products. On a monthly basis, our comparable store sales increased, 30.1% in January, 19.2% in February and 41.3% in March. There are a couple of events that influence our monthly sales that we want to highlight. First, the shift in timing caused by the 53rd week in fiscal 2020, historically a low volume week, benefited our January comparable store sales by an estimated 560 basis points and 170 basis points, for the first quarter of 2021. Adjusting for this timing, we estimate our comparable store sales would have increased approximately 24.5% in January. Second, In February 2021, about 20% of our stores were impacted, by severe weather over multiple days and multiple states that slowed our sales in weeks seven and eight. We estimate this adversely impacted our February comparable store sales, by 500 basis points but benefited our March comparable store sales by 300 basis points. That said, the net impact from the severe weather on our 2021, first quarter comparable store sales was not material. Third, the final six days of the first quarter of fiscal 2020, we limited our stores to curbside pickup, which resulted in a 46% decline in our comparable store sales during that period. This created an easy sales comparison and was a significant contributing factor to the strong sales increase in fiscal March 2021. We estimate our first quarter comparable store sales would have increased approximately 26.5% after adjusting for the benefit of the 53rd week shift and adjusting for the benefit of the decline in March 2020 sales, when we were limited to curbside pickup. As we look at our second quarter sales results to date, our comparable store sales increased 170%, but that is comparing against the negative 50% last year due to our stores being closed to the public to COVID-19. We believe using one and two-year comparable store sales growth rates are less meaningful right now, due to the store closures from last year. We believe a better way to evaluate our sales trends, is to compare our total sales growth to 2019, as 2019 was more of a normal year. By doing so, our first quarter 2021 net sales grew at a 28% compounded annual growth rate and our second quarter 2021 date net sales have grown at a similar compound annual growth rate so far. We expect our comparable store sales growth to be elevated in the second quarter, but moderated through the quarter, as our stores began to reopen in early May last year and most stores opened by early June. Recall, last year our comparable store sales declined 26.1% in May and increased 7.7% in June. We are excited about our sales momentum and the prospects of achieving our 13th consecutive year of comparable store sales growth in fiscal 2021. From a merchandising perspective, all of our product categories experienced double-digit first quarter 2021 comparable store sales growth. Comparable store sales in laminate and luxury vinyl plank, decorative accessories and adjacent categories were above the company average. The broad-based strength in our merchandising categories is a continuation of trends from the second half of 2020 and further validates our position as the one-stop solution for all our customers' hard surface flooring needs. We are continuing to consistently deliver on our strategy of offering our homeowners and Pros the broadest, most differentiated and trend-forward assortment in every category. Our large stores enable us to provide unmatched visual inspiration of all of our categories using larger displays, side caps, end caps and vignettes when compared with our competition. We complement this with in-stock job lot quantities at the widest range of everyday low price points. Let me turn my comments to our supply chain. We like many companies have been challenged by the constraints in the global supply and transportation change that were brought on by the COVID-19 pandemic and unexpectedly strong demand. We are navigating these challenges amidst our exceptionally strong growth, by focusing on securing international container capacity, as well as North American logistics capacity. Between the first and second quarters of fiscal 2021, we have added significantly more capacity to our ocean and North American logistics to align with our strong growth. We are fortunate to have agreements with our dedicated fleet, one-way asset-based carriers and ocean carriers to secure additional capacity and minimize costs. That said, we can pay premiums on surge capacity when necessary to maintain product flow. These strategies and our broad assortments have enabled us to offer our homeowners and Pros alternative products where there are specific product availability challenges. Our third strategic pillar of growth is expanding our connected customer experience. Our first quarter 2021 e-commerce sales remained strong, increasing 66.3% from the first quarter of fiscal 2020 and accounting for a meaningful 16.6% of our sales compared with 14.2% during the same period last year. We continue to see strong double-digit growth from paid inorganic searches, as well as direct traffic to our website, as our customers are choosing to engage with our brand as they begin their flooring purchase journey. We are continuing to make investments towards delivering an unmatched personalized customer experience. For example, in the first quarter of 2021, we enabled customers to upload their room photos into our Visualizer, rather than using one of our stock room photos. This now permits them to view our products in their home setting. We are also taking additional actions to further optimize the speed of our website and the mobile experience, which in turn, we believe, will lead to further improvement in conversion and the customer experience. In the first quarter of 2021, we completed another large site upgrade and redesign, which further enhances search in our site pages. We believe these continuing investments will lead to further strong e-commerce performance metrics and growth for the years to come. Our fourth pillar of growth rests on the successful investments we are making in our Pro and commercial customers to grow our market share. We continue to be pleased with the accelerating growth trends in our award-winning PRO Premier Rewards, PPR program, which drives engagement and loyalty with new and existing Pros. Today about 80% of our Pro sales come from our PPR members. Year-to-date, enrollment in the PPR program has increased 50% from last year and was up 76% in March. Year-to-date points earned and redeemed increased 50% and 77% respectively, validating value of the program. As we look to the remainder of fiscal 2021 and 2022, we are exploring opportunities that will further drive Pro engagement and increase awareness of our value proposition. We see opportunities to grow our market share through the introduction of PPR tiers, SKU-based bonus points programs and Pro credit card incentives that will further drive engagement. From a product standpoint, we are continuing to make investments to grow our Pro brand equity as a supply house and are excited about adding Laticrete, a leading installation material brand to our assortment in 2021. We are now able to offer Pros multiple leading brands and complete assortments, which will allow us to more easily cross over into their wholesale distribution channel. We continue to be very pleased with the strong growth in commercial sales, particularly those sales that are originated by our regional account managers, or RAMs, which are now in most of our major markets. While sales from our regional account managers are small relative to the size of our retail business, we are excited about the growth opportunity and plan to add approximately 14 regional account managers in fiscal 2021. Over time we expect commercial sales to become a material part of our growth, as we leverage Floor & Decor's core strengths in merchandising and direct sourcing. Let me now discuss the progress we are making with our free design services, the fifth pillar of our growth. We continue to be pleased with the momentum in design services and have strategies in place that we believe will sustain strong growth for years to come. First quarter 2021 design appointments increased 100% from the first quarter of 2020 and design service sales penetration increased 290 basis points year-over-year. Importantly, our customer experience and social reputation scores are strong. We are continuing to build on our success by further elevating the talent and the design services and exploring ways to create career paths to attract and retain high-caliber designers. As we have discussed in the past, we are focused on building a consistent, high-touch, best-in-class and seamless design service experience for our homeowner and Pro customers. To do so, we are further building out and updating key performance metrics and management dashboards to enhance productivity. We believe we are in the early stages of developing long-term competitive advantage through our free design services. Let me close by saying that our strong fiscal 2021 first quarter earnings reflect the unwavering efforts by our associates to serve our customers. Our entire executive leadership team would like to thank them for all of their hard work and dedication. I will now turn the call over to Trevor to discuss in more detail our fiscal 2021 first quarter results.
Trevor Lang: Thank you, Tom. We are extremely pleased with our fiscal 2021 first quarter sales and earnings results which are supported by the favorable macroeconomic environment and excellent execution of our store strategies by our associates. Their execution led to exceptionally strong sales and earnings flow-through in the first quarter of fiscal 2021. Let me discuss some of the changes among the major line items in our first quarter income statement, balance sheet and statement of cash flow and then I will discuss how we're thinking about the remainder of fiscal 2021. Our first quarter 2021 gross profit increased $100.9 million or 42.7% compared to the corresponding prior year period. The increase in gross profit was driven by a 41% increase in total sales and an increase in gross margins of 43.1%, up approximately 60 basis points from 42.5% in the same period a year ago. The increase in our gross margin was primarily due to improved leverage of our distribution center and supply chain infrastructure on higher sales. Turning to our fiscal 2021 expenses. Selling and store operating expenses increased $36.9 million or 24.1% from the same period last year. The increase was primarily attributable to 17 new warehouse stores opened since March 26, 2020 as well as additional staffing and operating expenses to align with our strong sales growth. As a percentage of our net sales, selling and store operating expenses decreased approximately 330 basis points to 24.3% from 27.6% in the corresponding prior year period. This decrease was primarily driven by leveraging our cost across an increasing comparable store sales. Comparable for selling and store operating expenses as a percentage of comparable store sales decreased approximately 390 basis points, as we leveraged payroll and occupancy costs from strong sales. First quarter general and administrative expenses increased $13.2 million or 42.7% from the same period last year, primarily due to higher incentive compensation expense and costs to support our store growth including increased store support staff and higher depreciation related to technology and other store support center investments. On a rate basis, our general and administrative expenses as a percentage of net sales remained flat at approximately 5.6% during the 13 weeks ended April 1, 2021 and March 26, 2020. Our first quarter preopening expenses increased $1.6 million or 28.8% from the same period last year. This increase is primarily the result of an increase in the number of stores that we either opened or preparing to open compared to the prior year period. First quarter net interest expense decreased $400,000 or 23.2% from the same period last year. The decrease in interest expense was primarily due to an increase in interest capitalized during the construction period of certain capital assets during the first quarter of 2021 compared to the corresponding prior year period. Our first quarter effective tax rate was 19.8% compared to 17.4% in the same period last year. The increase in our effective tax rate was primarily due to higher earnings without a proportional increase in available tax credits and the recognition of lower excess tax benefits related to stock option exercises during the current quarter compared to the same period last year. Moving on to our profitability. While our first quarter total sales increased 41%, our adjusted EBITDA increased 73.8% to $127.1 million from $73.1 million during the same period last year. The improvement in our gross margin rate and expense leverage led to a 300 basis point increase in our EBITDA margin to 16.2% from 13.2% last year. We are proud that our first quarter 2021 adjusted EBITDA in isolation now exceeds our annual 2016 adjusted EBITDA of $108.4 million. Our first quarter GAAP net income increased 104.5% to $75.8 million from $37.1 million last year. Our first quarter adjusted net income increased 100% to $72.7 million or $0.68 per diluted share from $36.3 million or $0.34 per diluted share last year. We ended the first quarter with 107.1 million diluted weighted average shares outstanding compared with 105.5 million last year. Moving on to our first quarter fiscal 2021 balance sheet and cash flow. As of April 1, 2021 there was $207.7 million term loan debt outstanding on our balance sheet compared with $419.6 million of term and ABL debt outstanding during the same period last year. Last year, as a precautionary and proactive measure as uncertainty in the credit markets escalated, we drew down $275 million or approximately 80% of what was available on our ABL facility. We subsequently paid down $275 million in the ABL in the second quarter of 2020, as we had better visibility into the business and our liquidity needs. When considering our first quarter 2021 cash on hand of $354.1 million, we had no net debt outstanding at the end of the first quarter of 2021 due to our strong earnings growth and favorable working capital. This led to our first quarter operating cash flow increasing fourfold to $101 million from $24.7 million during the same period last year. Our strong earnings growth, cash flow and balance sheet enable us to consider taking on more ownership of stores rather than leasing them and accelerating store and customer-facing technology investments to further enhance the shopping experience across all of our channels. We believe these investments will place us in an even stronger position competitively leads to longer-term EBITDA margin expansion while also helping us in the event of another cyclical down decline in the economic activity. Let me now turn my comments as to how we're thinking about fiscal 2021. From a macroeconomic perspective, we have seen fiscal and monetary policies to be very accommodative, which we believe will continue to provide tailwinds to the existing and new home sales. Additionally, the secular demand for homes continues to exceed available supply which we believe will continue to lead growth in home price appreciation and growth in home equity. While the personal savings rate has declined from its peak, it remains historically elevated giving homeowners dollars to reinvest into their home. We believe the reinvestment is being driven by views such as my home no longer meets my needs of me and my family. I want to take advantage of the current market. I want a house that is less work and I want to live closer to friends and family. Collectively, we see these factors as continuing to support reinvestment projects and our business. While we are optimistic about the prospects of sustained economic recovery in 2021 and the momentum in our business, we recognize that business risks remain elevated albeit lessening from the COVID-19 pandemic. For that reason in the interim, we are continuing our practice of not providing specific annual sales and earnings guidance that was established in the second quarter of fiscal 2020. As business risk improve, we expect to return to annual sales and earnings guidance. As we discussed on our fourth quarter fiscal 2020 earnings conference call as we look beyond 2021, our goal is still to achieve $329 million in adjusted EBIT in 2022 as described in our 2020 annual proxy statement. Doubling our EBIT over three years in the throes of the worst pandemic in the century would be quite an accomplishment. As we look to the next three years, we believe our long-term growth algorithm of 20% unit growth mid to high single-digit comparable store sales growth along with modest gross margin improvement should lead to net income growth of at least 25% on a compounded annual growth rate basis. Due to the COVID-19 pandemic, the growth path will not be a straight line. But over the long term we believe these goals are achievable. In closing, I would like to say that our entire leadership team is encouraged by the continuing momentum in our business and we are very excited about the growth that still lies in front of us. We would like to personally thank all of our associates for their great work that they are doing every day to serve our customers. Operator we will now turn it over to questions. 
Operator: [Operator Instructions] And our first question comes from the line of Zach Fadem with Wells Fargo. Please proceed. Your line is open.
Zach Fadem: Hey good afternoon guys. Can you talk a little more about the step-up from January to March? And if there were any particular drivers across DIY versus Pro or just broader changes in consumer behavior? And then as we look to Q2, it looks like extending the Q1 growth rate versus 2019 would suggest a comp of at least 60%, so just given the moving parts around new stores and just the wonky year-over-year compares is this the right way to think about the business as we think about sequentially into Q2? 
Tom Taylor: So Trevor -- this is Tom Zach. Trevor will take the first part talk about the monthly cadence and then I'll talk a little bit about the consumer and what we're seeing. 
Trevor Lang: Hey Zach, you're right. We had some unique things happened this quarter that make the comparisons a little odd. But when you back out the benefit of that 53rd week everything shifted out a week. The week of New Year's and Christmas is a low-volume week. So that's part of the reason the comp was so high in January. But if you back that out we're sort of in the 24.5%. February was a pretty close number, if you back out the impact of the storms. And then we did see an acceleration a little bit in March, even if you back out the fact that we were closed for the last six days last year. So we exited the quarter at 26.5% sort of on a pro-forma basis excluding the 53rd week and excluding those six days when we were closed last year, but we did see a little bit of an improvement in March relative to the first two months not a lot maybe a couple 200 basis points. One of the things that Tom touched on in his prepared comments that you sort of touched on and I think is also worth repeating is, because we had the big negative comps last year right we were up 170%, so far we do think the right way to think about the business is on a 2-year basis. We exited Q1 at a compound annual growth rate of 28% versus 2019. We're at a similar rate in Q2. And we're not giving guidance, but what I would say is the run rate of our business has been fairly consistent this year if you back out the holidays and some of the shifts. We don't have a seasonal business. We have a promotional business. Q2 is a little bit higher volume. Q1 and Q3 are about average for the company and then Q4 is usually a little bit lower because people aren't working on their floors during the holidays. And so I think one of the reasons we're not giving guidance it's just very hard to know what's going to happen. But depending on your perspective on the macro, you can model out some of those numbers. And if you think things are going to be really robust again the weekly cadence has not been that different. If you think -- if the macro is going to slow a little bit then you could bring those numbers down, but regardless of that either of those you'll come out that we're going to have a -- looks like we're going to have a really strong year this year. 
Tom Taylor: Yes. And the other thing I'd add just from a consumer standpoint when you're seeing strength like this you see strength in both homeowners and professionals. So we're seeing nice increases in both. Our Pros continue to tell us that their backlog is long and the amount of time to get the jobs is a while. And the company that we work with on installations they had their best March ever. So both consumers are strong for us. 
Zach Fadem: And then a longer-term question, maybe talk about your expectations for multiyear EBIT margin progression. And with your store level margins at a high-teens rate do you think a mid-teens EBIT margin is a fair long-term landing spot for the business over time? 
Trevor Lang: This is Trevor. I mean, I would have said no historically. But this last quarter if you back out pre-opening expenses because we won't have that and we're done opening stores a long time from now we've been 17.5% EBITDA margins right, back off call it 300-ish basis points for depreciation and you're getting pretty close to that mid-teen operating margin. And obviously, when we're multiple billions of dollars bigger than we are today we're going to run the business more efficiently. So we just had a lot of things go our way. Obviously we're in a very good macro environment. And so that's possible. That feels rich to me. But again we're close to that today, but we're obviously in a heightened sales environment. So positive, very positive. 
Operator: Thank you for your question. Our next question comes from the line of Michael Lasser with UBS. Your line is open. Please proceed.
Michael Lasser: Good evening, thanks for taking my question. You mentioned that your Pro customers and 85% of your sales are in some way shape or form levered to a Pro customer have long backlog. Presumably, when a customer gets a windfall of additional money they can't just go that same day and spend it on something like a flooring project the considered purchase. So between those two factors, how long are you expecting the robust sales that you're experiencing now to last? Is it reasonable to expect that this could extend well into the fall and winter? 
Tom Taylor: I mean that's a good question Michael. I think that's what Trevor said earlier, it's hard to predict. We're seeing strong strength now. Our strength has been consistent. The backlog has remained pretty consistent too. While the Pros are backlogged that's not a new event that's been going on as we started to come out of COVID. So I think the reason, we're not giving guidance is it's kind of hard to predict exactly what's going to happen. As I look at the macro existing home sales still are strong. Last month, we were up 12.3% over last year. Household values continue to go up. You've got an aging household stock millennials entering the housing market. And there's a lot of good things in the macro. And then lastly aging houses, I mean there's just a lot of good things in the macro that support the category. So it's hard to predict because of the moving parts due to COVID, but we'll see. 
Michael Lasser: And my follow-up question is, there's a lot of well-documented pressures on many of the key imports for the products you're selling like lumber. And how is that impacting both your cost and your ability to secure product at this point? 
Tom Taylor: I'll let Lisa talk a little bit about the cost. I mean securing product -- I mean when you're running this type of comp environment and net sales growth, you're going to be chasing inventory. And as long as I've been here we've produced some crazy comps during the times. This is a little bit unprecedented. And you're going to have times where you chase inventory. I think what's impressive in my mind is just we continue to have the ability because of our broad in-stock assortment to when we chase inventory on a SKU of tile or a SKU of wood, we've got hundreds of other options in those categories that we can ship the customer to. And so while we're chasing inventory and we're dealing with that in this environment we still are able -- it doesn't appear to be affecting our sales. So I'll let Lisa address costs and how we're dealing with that. 
Lisa Laube: Hi, Michael. So on the cost perspective, yes, we have started to see some increases. Now we're not going to be affected like lumber is. The wood that we use is a little different so we don't see those kind of increases. But we have started to see some. The great news is we have really terrific partners out there that we've worked with for years and in some cases decades. And they keep our costs as low as possible. We have really extensive sourcing options. We have a lot of purchasing power. So where we've had to take increases, we're able to take strategic retail increases. They're not a lot of them, but we have had to do that in some cases. But we do remain really confident with our price gap. I mean in the price shops that we do our gap with the competition is as big if not bigger than we've ever been. So, yes, we're facing some of the same cost pressures everyone else is but we feel very good about our ability to navigate through those.
Operator: Thank you for your question. Our next question comes from the line of Steven Forbes with Guggenheim Securities. Please proceed. Your line is open.
Steven Forbes: Good morning, Tom, Trevor. I wanted to focus on the adjacent category performance right since you're disclosing it in the Qs now. 1.6% of revenue it seems for the quarter. Just curious, sort of, your takeaways on what that means for the opportunity there. I know you've talked about getting to $1 million per store but the strength here seems especially strong. So what does it mean? Any updated thoughts in also about your ability to sort of continue to expand into new categories? 
Tom Taylor: Yes. I would say a few things about adjacent categories. One I have been very pleased with how each one of them have worked. Now we've tried multiple adjacent categories and we really try to be thoughtful in what we add that really to complete a project we've heard from a lot of my time here that consumers want to be able to buy the total project within the store. So we try to be thoughtful and say okay what's going to be used in a bath remodel? What makes sense that's kind of the tile person may be using? And we've tried to be thoughtful as we've added those. And I've been very pleased with how that's worked. The benefit of -- so one pleased with how they've worked. And by the way I think we can do a lot better. We've chased inventory in that too. So as we get ourselves and a better program in place, I think, we'll continue to improve in the categories that we participate in. We have big stores and we have big stores on purpose. And we've been good in our whole time here at flexing spaces as categories -- as sales decelerate in one category we can get space to another category. And historically we've done that within the hard surface flooring categories, but now we're doing that some within hard surface point to some adjacent categories. So our average store size has increased every year over the last few years. That store size gives us the ability to do more. We're never satisfied. We're always trying to do more. So we're going to continue to explore other things our customers are expecting to us to define. And we like to pilot things and we'll pilot them. If it works you'll see it in more stores. 
Steven Forbes: And then just a quick follow-up on the commercial RAMs. You talked about adding 14 I think this year. Any update on how the legacy cohorts I guess or the classes of RAMs are performing relative to those stated goals the sales goals that you had in the past? 
Trevor Lang: Yes. This is Trevor. They're off to a banner year too right? The commercial industry was expected to be down this year and I think it may be in total, but we're so small in that industry. They're doing well. We have some of the RAMs that have now been with us for a couple of years they're going to well exceed that $2.5 million to $3 million goal. Some of those guys are getting close to that in only whatever four months into the year. And we've -- as you said we've hired a lot right we hired 12 last year we're going to have 14 this year. So we've got a lot of new folks in there. But the same core tenants that have made the residential business successful are working very well with the RAMs really high-quality trend on product at a low cost and a supply chain that can get it there fast. So we're very pleased. That's why when we started the year we said we're going to add 12 but based on some of the success we've ramped it up to 14. So the answer is, yes, we feel very strong in our commercial goals. 
Tom Taylor: I think the only thing that I would add to that is I've also been surprised at the amount of talent that we've been able to attract. I think people are starting to understand the benefits of working with Floor & Decor on commercial projects and people in the industry are seeing that so we'll be able to attract good talent and a lot tends to bring a book of business with them.
Operator: Thank you for your question. Our next question comes from the line of Simeon Gutman with Morgan Stanley. Please proceed. Your line is open.
Simeon Gutman: Hi, everyone. Good afternoon. I have two questions. First on sales. My sales question I guess has two parts. First, Trevor back to the comment around the CAGR for the last I guess the weeks you're saying week-to-week it's pretty stable and it's a good way to think about your business on I guess a two-year basis from 2019 or on a CAGR. Did you also say though that underlying momentum seems to -- did accelerate in the first quarter sort of I don't know if it was week-to-week or month-to-month? That's my first question.
Trevor Lang: Yes, it does. But just to be fair about that it should because March is a bigger selling season and April is one of our biggest volume months relative to January and February. But so yes the answer is our week-to-week volumes when you look at every week week-to-week we have seen our volumes increase, but they should because March and April are higher volume months for us. So the answer is, yes, but they should. 
Simeon Gutman: Got it. Okay. And then within that still on sales do you have a sense of the composition of new transactions or customers you haven't seen versus existing? 
Trevor Lang: I don't know that we have that out of our CRM data. I do know that we're all very proud -- again this is my tenth year at Floor & Decor. As Tom mentioned the vast majority of our comps is coming from transactions. And that's something we probably can pull from our CRM database we'll have that next time. 
Tom Taylor: I do think that there's a lot of new customers coming into the marketplace. I mean with that type of transaction growth and you combine that with we're slowly creeping up in awareness we still have a long way to go. But as we continue to -- we're opening a lot of stores and we're getting into a lot of markets and those markets are maturing and that tends to bring new customers into the marketplace for us. So I mean to me when I look at our performance there's new customers and I think we're taking share at a faster rate than we have historically. 
Simeon Gutman: And just the last follow-up. On market share you mentioned Tom mature markets. Do you have a sense or just remind us what you've told us in terms of market share in most mature markets? I don't know if there's any updated 2020 data out there.
Tom Taylor: I think, some of our -- we look at it more around a catchment area, we have some ability to look at some of that work. And last time I remember seeing that we had some stores -- some of these higher-volume stores could have 35%, 40% market share within their 45-minute drive times. Some of these are slightly higher than that. So I do think where we have some of our bigger volume stores in some of our more mature markets that we've been, we've got very high market share. In total, we still think we have about 9% right, because we only have 140 stores. But in our more mature markets with some of our higher-volume stores that market share is a lot higher.
Operator: Thank you for your question. Our next questions come from the line of Karen Short with Barclays. Please proceed. Your line is open.
Karen Short: Hi. Thanks very much. Just a couple of questions. Wondering if you could talk a little bit more about inventory. Obviously, you had exceptionally strong sales, but inventory increase was pretty lean this quarter relative to 4Q and much more so relative to 3Q. So wondering how you're thinking about that going forward? Then I did have one or two other questions.
Trevor Lang: Yes. No, as Tom mentioned, we weren't necessarily planning for this level of sales and we're chasing -- we have really good systems. We've got a strong team of merchants and supply chain individuals that are helping us look into those trends but we're definitely selling more than we would have expected. Also as Tom mentioned, the benefit of our business is, we've got a lot of SKUs that we can do a good job of selling. We were just in stores today talking about the teams and consumers are excited. And so we may have 15, 18 shades of gray tile all a little bit different. And if we may not have the exact SKU that you originally started looking at we have something close that we can sell through. So I do think our merchants do a great job of walking through better, better, best, good, better, best. And our store teams are doing a great job of showing the differences in those SKUs. And if you want to -- the other thing is we're working very closely with our supply chain partners and our vendors to try and get those receipts to a level that will have our in-stocks. To-date, our in-stocks aren't that far below where they've been historically. But as time goes on where we're selling a lot that could -- those in-stocks could come down. But as of today our in-stocks are still in good shape.
Karen Short: Okay. And then my second question is just related to, obviously, you talked about the percent of sales Pro sales from the PPR members. Wondering if you could just give an update on tie-in rewards programs for Pros using the Pro credit card or just a general update on how you're thinking about tying the credit card into the reward program in general.
Trevor Lang: Yes. So we're working with a professional firm that does some of this for a lot of big companies to help us think about prioritizing that. We will have that analysis done in the next month or so. And I think you guys have heard us say, there's really three things we're trying to do with the PPR program, and it's doing incredibly well as Tom mentioned so far. But we think there's the next step is a logical as a tier type program a lot of the more mature companies and retailers and consumer businesses with us will put it in a tiered program so that you're rewarding your best customers the most. That's the thing we're the most excited about. To your point, we're working on exactly what the credit tie-in would be. But we think -- we know the costs are materially lower on our private label credit cards than the external card brands, so which we're going to have to reward people for using that plus our card currently has the best terms out there with six months no interest. And then the final thing is as we introduce new really cool technology or other SKUs that more so in the installation category, there's ways we can give points for trying some of those new SKUs and working with our vendors to do that. So the goal is all of those would be in a position to be rolled out later this year with some technology and process and people we have to invest in those. But we hope to have those ready to roll out later this year to give us a benefit into 2022.
Operator: And thank you for your question. Our next question comes from the line of Greg Melich with Evercore ISI. Please proceed. Your line is open.
Greg Melich: Thanks. I had a follow-up on inventory and then on CapEx. So if inventory was up 3% year-over-year and given that costs are going up and is there any inflation in that? And is volume actually down on inventory?
Trevor Lang: There's definitely a little bit of inflation right now. Most of our inflation will come we think later in the year. Our return on inventory just over two times a year and the cost increases that we're seeing now most of those didn't exist with the receipts we have today. So those are -- there will be a little bit of inflation in there. Lisa and I often always joke don't always look at last year's inventory as the best proxy, because you don't always have last year's inventory, right? I mean, again, we just posted a 41% increase in sales. So, I mean, we'd love to have some more of our best sellers and we're working aggressively with our partners to do it, but that's a benefit of having a big store with lots of inventory.
Greg Melich: Is there a number like 50 million that you'd like to have ideally?
Trevor Lang: Well, -- have that number that feels a little high to me, but that -- that's a little high for me.
Greg Melich: Okay. Okay. And then the second was you mentioned in the prepared comments about doing more own versus lease. And I know you I noticed you kept the CapEx plan at, I think, $440 million or more and it was only $46 million on the first quarter. So is that -- should we assume that CapEx has gone up to $130 million a quarter? And is owning over leasing become a new part of the strategy?
Trevor Lang: Yes. I would say we now own two stores. We have one in Connecticut and one in Texas and we're very pleased. And when we think about that if you really simplify it we're spending somewhere between $7 million to $9 million for our new store today. When we own the land and obviously real estate is different throughout the United States, but we're going to spend somewhere around the low end of $3.5 million to $4 million for the land and on the high end, it could be north of $5 million. We do -- we use two independent ROIs that's the store's ROI independently and then what's the ROI on the real estate. And we're going to get a return on capital above 10% is our current expectations on those investments. And so the answer is we do think we want to do more. We have a set of rules that we follow so things like is it a great demographic area to grow on? And we thought we could make a good buck if we would ever want to sell the real estate? And we are triggering through those and we're seeing what it looks like those real estate investments look like we want to do more. And then there's other benefits when you own the real estate you can negotiate the taxes better, you can negotiate the CAM, you can manage some of your cost increases as better. That being said, could it possibly be 10% to 20% of our new stores that we would own? We're still even a ways away from that. So it will never -- as you think about 20% unit growth, we're not talking we're going to own 20% of our stores, but where it makes sense in a place like Dallas, Texas we know it well. It's like we have a really good location. We're going to try to own more of those stores. And then so as you think about that equation longer-term, yes, as we think about 2022 and 2023, because we're obviously working on those stores now, it's possible that for 10% to 20% of that basis if we can, we'd like to own that real estate. And again, it's going to cost us somewhere in the $3.5 million to $4 million range on the low end and $5 million or $6 million on the high end to own that land. Long answer to a simple question, but I don't think it will all -- ever be all that material relative to the total CapEx, we spend, but where it makes sense we're going to try and take on more ownership.
Operator: Thank you for your question. Our next question comes from the line of Chris Horvers with JPMorgan. Please proceed. Your line is open.
Chris Horvers: Thanks. Good evening, everyone. A couple of margin questions. Top line has been pretty fully covered here. Can you talk about product margins? You didn't call it out as a positive in this quarter and you had prior. It does sound like you had – you did have trade up to better and best. And then you also talked about transportation costs and input costs rising and inventory turns. So, any color commentary about how to think about gross margin over the balance of the year? And could we flatten out and maybe see some pressure as we get to the fourth quarter?
Trevor Lang: Yeah, I'll hit it at a high level, and then Lisa and Tom can weigh in. We saw some pretty meaningful gross margin improvements last year across all of our product categories. This quarter, when you look at the totality of it the majority, as I mentioned in my prepared comments, was driven by the leverage of the supply chain was a bigger driver of our gross margin this quarter. The way we think about our gross margins for the rest of the year and obviously a little bit of this is predicated on sales, but assuming reasonable sales growth that we're planning on we would expect to have higher gross margins again in Q2. As we get to the back half of the year, our current expectations is that they'll be flat to down maybe just a little bit driven by the fact that, we are going to see some of these cost increases. And Chris you followed us for a long time. When we think about these cost increases we try to keep our retails as low as possible. We're going to likely pass on those cost increases to some extent. But it's a market-based approach it's a portfolio-based approach. But I do think as we see some of those inflationary pressures come in the gross margin will not be growing in the back half of the year. But as we did when tariffs came in we don't think that will affect our ability to get to our gross profit goals and our profit goals.
Chris Horvers: Got it. And then can you just talk about – maybe quantify how much incentive comp pressured from a dollar perspective? And help us out in terms of sort of how you accrue for that? Do you typically say, we beat the first quarter versus our internal plan and we raise only for that, or do you typically recast the year and then sort of adjust your accrual rate at that point in time?
Trevor Lang: It's the latter. Fortunately for us, our overall incentive comp is pretty small as a percentage of our sales it doesn't have a massive impact. As you would expect, we're accruing at the very high end of the range right now based on the performance of the business. There's a piece of that in the G&A, which is our corporate expenses. There's a piece of it up in storage for the store pieces of it. And even with that as you guys saw – now obviously our comps were good. We still got over 300 basis points, almost 400 basis points on our comp stores leverage, including last year's bonuses were basically zero, because at the time we were heading into COVID. And this year, we're accruing at a max rate and you still saw a fairly significant leverage in the stores. At the corporate a little less so and that – the reason you didn't get leverage in Q1 was basically because of bonus because again we were accruing almost zero last year. And this year, we're accruing at the high end of the range.
Chris Horvers: So said another way, it was the comparison year-over-year. It's not like you sort of recast your plan and said okay now internally we're expecting even better outcome than what we had predicated for the year?
Trevor Lang: I would say, so we have a plan that the compensation committee approves at the beginning of the year and then we will accrue based on what you're – what do we think we're going to hit throughout the year. So as we're re-forecasting the businesses we'll take that incentive comp up throughout the year. So hopefully that answers your question. But basically, we do reforecast the year, and then we accrue based on how we're performing through that – throughout the year. And then obviously, as we get closer to the end of the year that true-up, becomes pretty immaterial because you're getting close to the end of the year.
Operator: Thank you for your question. [Operator Instructions] Our next question comes from the line of Kate McShane with Goldman Sachs. Your line is open. Please proceed.
Kate McShane: Hi. Thanks. Good afternoon. A lot of our questions have been answered. So this is a little bit more of a detailed one on the cadence of comps that you talked about today. I know you mentioned that, February was impacted by about 500 basis points by the storms, but you think 300 basis points of that got pushed into March. Do you think those 200 basis points difference can still come back? And just with regards to the commentary around what you achieved in March I know, it's small but is there a way to know if that was from needing to replace floors, because of the storms, or is it from delayed projects?
Trevor Lang: Part of this is just a bit of a math equation. March is a five-week month. February is a four-week month. And then also the March volumes were higher and the February volumes were lower. So the combination of those two things is they basically dollar-wise wash each other out. But because March is such a higher volume month, both because of the volumes and it's a five-week month that's why it's only a $300,000 benefit in March. On the storm itself you guys know Hurricane Harvey hit us in late 2017, and it felt like the rain stopped and the sales went through the roof. And we're obviously a smaller company and more concentrated in Houston there. We don't think that happened here. Maybe that will come maybe there's going be more to come throughout the year. It felt like we kind of lost some of what we would have gotten otherwise. And maybe there's some upside to come as frozen pipes burst and things like that. But it doesn't feel like we're going to see anything close to what we saw in Houston back when Hurricane Harvey hit.
Operator: Thank you for your question. Our next question comes from the line of Steven Zaccone with Citi. Please proceed. Your line is open.
Steven Zaccone: Great. Thanks for taking my question. Congrats on the strong results. One quick one, just why don't you expand a bit more on what's driving the growth of the 2020 and 2021 cohort of stores to be so strong relative to prior cohorts? Do you think the brand awareness is growing? Is it better execution? It seems like you're being more vocal with the grand opening celebration. So, just what's the key drivers of the outperformance when you look at these versus prior cohorts? Thanks.
Tom Taylor: I don't think, it's one thing. It's a little bit of everything you said. Certainly, our execution I feel is at a high level. What's encouraging is the stores, particularly in 2021 we're not opening the same – with the same fanfare that we have historically opened our stores over the last few years and we're seeing really strong results. And so that our teams are executing they're out they're finding new Pros they're getting them into the stores, just not in one big mass party, because you can't do that in a COVID world. So I'm pleased with that part of it. I think that the 20 and 21 stores I do think our awareness is improving. I think people are knowing, where we are. Even in new markets people are starting to hear of the brand. So I think that that helps. I think our real estate team has done a phenomenal job in our locations. I keep pulling up to our new stores and I'm like this is one of the best locations that we have. And it's – and I'm getting tired of saying it, but I do think that, they've done a good job a better job than we've historically done in getting the right locations with the right visibility which is important to us. So – and we're also opening in markets where you'd expect some higher volumes. So we're getting some more stores up in the Northeast. We're getting some more stores in Texas and markets that we perform good at and those stores performed strong historically. So yeah, it's a little bit of everything. There's no one magic bullet. But certainly, we're pleased with the 20 and 21 stores. 
Trevor Lang: I think one other thing, Steven, that we're kind of learning. One thing, I would say, is 60% of our stores are in existing markets this year. So that obviously helps get better brand recognition more pros. But we're also starting to see a little bit is our real estate team is obviously getting much better locations for us as we're a bigger company, a much better balance sheet.  And then when you open that third or second or that full store, you're really getting the leverage that you were hoping for because you do have better brand recognition. Now you just made it more convenient for that pro to shop at multiple stores, which is obviously very encouraging. With at least 400 stores we plan to open, we're only at 140. We got a lot of markets left to open that second, third, fourth, fifth, sixth store. So it is -- that's something that we're learning a lot about here in the last few years as well. 
Operator: Thank you for your question. Our next question comes from the line of Chuck Grom with Gordon Haskett. Please proceed your line is open.
Chuck Grom : Hi. Thank you. Great quarter. Just a question on geographic performance. Just curious if you're seeing any diversion in performance in some of the markets that are further along in the reopening process? And then also just curious from a consumer perspective, if you're seeing shoppers start to engage in larger purchases at this point in time? 
Tom Taylor : Geographically, we're pleased across the country. All markets are performing very well. As I said in my prepared remarks, that there's not one place that's really driving it. We're fortunate to see strength across all territories. Whether customers are taking on larger projects, it's hard to tell. I mean, I don't think so. I think they're taking on the same. Flooring project is a flooring project and that doesn't change so much.  So the one thing, we are seeing you can see our average ticket is a little bit better. Customers continue to step up through our better and best products, which tend to be a little bit more expensive. I think our merchants have done a terrific job and being trend-right and I think customers are gravitating that. So that takes the project up a little bit and it's reflective in our average ticket. So we feel good about both. 
Operator: Thank you for your question. Our next question comes from the line of Alex Maroccia with Berenberg. Please proceed your line is open.
Alex Maroccia : Good afternoon. Thanks for taking my question, guys. I might have missed this in the prepared remarks, but can you give us an update on the new California transload facility? And if your thoughts around benefits from it have changed given the current freight environment? 
Trevor Lang: Yes. Again, our supply chain team has just been very thoughtful about this, so we pulled the trigger to do it. We don't plan on operating it until the fourth quarter. And then it will take time to work its benefit in because we're on a weighted average cost of inventory method. So we'll start to get some modest benefits for that at the end of Q4 and into Q1.  But with the congestion out there and the cost of dealing with the congestion out there, it's going to help us now. We think some of that's going to hopefully abate over time as they get caught up. But we're on track. We plan to open it like I said I think in the fourth quarter and we'll start to see some of those benefits really more realistically into 2022. 
Operator: Thank you for your question. Our final question is coming from the line of Justin Kleber with Baird. Please proceed your line is open.
Justin Kleber: Hi, guys. Thanks for taking the question. I wanted to ask just about web traffic. I assume you've seen an acceleration in growth during 1Q. I don't know if you had that specific number you can share. But maybe as a part of the question what's the typical lag time from when you see a homeowner start to engage with your website and then when they actually make a purchase? 
Lisa Laube: Hi. This is Lisa. So yes, we did see pretty consistent web traffic through the first quarter. There's some ups and downs by week as we usually see. I believe that our total for the first quarter was up 81% web traffic. So that was great. April did come down some, but it's getting very fuzzy now because we are now going up against stores being closed.  So if you remember last year, the web represented like 65% of our business in the second quarter last year. So there was a lot of noise now as we start to compare year-over-year. But first quarter, we felt very good still running close to 17% of sales, so that's great. I don't know if I know the exact lead or lag time. I think kind of anecdotally, we've always said some are 30- to 90-day range from the time somebody kind of starts the thought process to do it until the time it actually gets done. And I don't think we have any reason to believe that timeline has changed. 
Wayne Hood: So I think that concludes our question-and-answer session. We appreciate everyone joining our call today and appreciate your interest in our company and our performance and we look forward to talking to you on our next quarterly update. 
Operator: That does conclude our conference call for today. We thank you for your participation and ask that you please disconnect your lines.